Operator: Good morning, everyone, and thank you for holding, and welcome to the America's Car-Mart Third Quarter 2016 Conference Call. The topic of this call will be the earnings and operating results for the company's fiscal third quarter 2016. 
 Before we begin, I would like to remind everyone that this call is being recorded and will be available for replay for the next 30 days. The dial-in number and access information are included in last night's press release, which can be found on America's Car-Mart's website at  www.car-mart.com. 
 As you all know, some of management's comments today may include forward-looking statements, which inherently involve risks and uncertainties that could cause actual results to differ materially from management's present view. These statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. 
 The company cannot guarantee the accuracy or any forecast or estimate, nor does it undertake any obligation to update such forward-looking statements. For more information regarding forward-looking information, please see Item 1 of Part 1 of the company's annual report on Form 10-K for the fiscal year ended April 30, 2015, and its current and quarterly reports furnished to or filed with the Securities and Exchange Commission on Forms 8-K and 10-Q. 
 Participating on the call this morning are Hank Henderson, the company's Chief Executive Officer; and Jeff Williams, Chief Financial Officer. 
 And now I'd like to turn the call over to the company's Chief Executive Officer, Hank Henderson. 
William Henderson: Well, good morning, everyone, and thank you for joining us. First of all, as you saw on our press release, Jeff Williams will be taking on the title of President; and Leon Walthall, has been promoted from Regional Vice President to Field Operations Officer. And I would like to congratulate both of these gentlemen on their new roles, and I look forward to seeing the positive difference and I'm certain they will be making as they take on some additional responsibilities and broaden their scope of influence. 
 Jeff has been our CFO for the past 10 years now where he's done an excellent job and has amassed a great deal of knowledge and a solid understanding of how our business all comes together. 
 Leon has been a Regional Vice President for the past 6 years and has done an outstanding job leading the largest region in the company. Prior to that, he was a general manager for 20 years, where he consistently lead the company in sales and set many sales records that are yet to be broken. We are very excited to have the opportunity to spread Leon's positive attitude and expertise throughout the company. 
 And we do have work to do on our sales. Revenues for the quarter were up about $6 million over the same quarter last year. Unit sales, however, were down, which is disappointing with January being particularly soft within the quarter compared to last year as we did not see the tax time sales begin to kick in until February, and it seems there was some late inventory tax refunds began to arrive. While we would obviously have liked to assume higher unit sales for the quarter, we do feel good about the quality of the deals we're putting out there. 
 As we discussed on the last quarter call, we just rolled out our new underwriting system with increased controls. We know this creates some self-induced pressure against sales. And not an ideal time, with so much competition out there, but nevertheless, we felt confident. It was the right move and will pay off in the long run. With increases we've been seeing in credit losses, it was evident that this area is in need of more focus and some additional screening efforts were needed. 
 For the quarter, the down payments were up slightly over the same time last year. So this is a good indicator, some improvements in the quality of the deals were made year-over-year. And Jeff will give a little more detail on the specifics of that in just a moment. 
 These past few years, we've seen some substantial investments in the infrastructure to support a higher level of sales and obviously at some level, it's always been the case. For these past few years, it has been more than usual with our GPS devices, operational software, device management assistance as well as increased investments in training and some other support functions and those have all added up. But unfortunately, the sales haven't yet gotten to where anticipated. So we are in the process of cutting some costs to put this moving line with where we need to be. 
 Now I'm going to go ahead and turn it over to Jeff to give you more detail on our recent results for this past quarter. 
Jeffrey Williams: Thank you, Hank. Total revenues increased 4.5% to $137.5 million and same-store sales were flat for the quarter. Revenues in the 10-plus year category of store was down about 2%. Stores in the 5- to 10-year category was up about 1% and revenues from stores in the less than 5-year category was up about 22% to $34 million. The overall average retail units sold per month per lot for the quarter was 25. That's down 10.7% from 28 for the third quarter of last year and down slightly from 25.3 sequentially. 
 At the end of the quarter, 46 of our dealerships were from 0 to 5 years old, 23 are from 5 to 10 years old and the remaining 78 dealerships were 10 years old or older. Our 10-year plus lots produced 26.8 units sold per month per lot for the quarter compared with 29.5 for the prior year quarter and compared to 27.1 for the second quarter. 
 Our lots in the 5 to 10-year category produced 25.7 compared to 27.7 for the prior year quarter and 24.5 for the second quarter. And our lots in the 5-year age and younger had productivity of 21.4 compared to 24.9 for the third quarter and then 22.4 for the second quarter. 
 Our average retail selling price increased $835 or 8.6% compared to the prior year, an increase of $352 or about 3% sequentially. The increase from the prior year relates to an increase in overall selling prices as we tried to improve the quality of our vehicles and also to our more conservative underwriting, which did affect our newer dealerships, which tend to sell a lower-priced car more than our more established dealerships. 
 Also, we're selling more trucks and SUVs, which are in high demand and for the most part, carry higher selling prices. And also, to a lesser extent, to an increase due to the effect of the previously discussed price increases for our add-on products. The increase sequentially relates to an increase in overall selling prices as we improve the quality of the vehicle, more conservative underwriting as well as a mixed shift. We do continue to remain hopeful that decreasing wholesale prices, while painful in the short term, might give us an opportunity to buy a better, more affordable car for our customers as we move forward -- of course trucks and SUVs are kind of a wildcard right now. We currently anticipate some increasing overall sales prices over the near term, subject to some seasonal patterns as we work to improve on the quality of our offering, but at the same time, continue our efforts to keep payments affordable. 
 Our down payment percentage was 5.3%, that's up from 5% or about $35 per transaction. Collections as a percentage of average finance receivables was 12.9% compared to 13.8% last year. Our average initial contract term was up to 29.3 compared to 27.9 for the prior year quarter, that's up about 1.4 months and it was up from the second quarter's 28.4. 
 We remain very aware of the downsides of longer terms, the increase relates to the higher average selling price. Our weighted average contract terms for the entire portfolio, including modifications, was 30.9 months, which results from 29.7 at this time last year and up from 30.6 sequentially. The weighted average age of the portfolio was 8.6 months at the end of the current quarter compared to 8.5 months at this time last year and 8.5 months at the previous quarter end. Due to the increasing selling prices and for competitive reasons, our term lengths may continue to increase some into the future, but as always, we're committed to minimizing any increase. 
 We continue to fight the battle on keeping our terms down, and we continue to educate our consumers on the benefits of our offerings compared to offerings with longer terms. By focusing on increasing the quality of our inventory, we remain committed to our goal of ensuring the term length and the useful life of the vehicle are in alignment.
 Interest income was up $578,000 for the quarter due to the $16.7 million increase in the average finance receivables. The weighted average interest rate for all receivables was right at 14.9% flat with this time last year. 
 For the third quarter, our gross margin percentage was 40.3% of sales, that's up from 39.2% sequentially but down from 42.7% for the prior year quarter. The improvements sequentially relates to lower wholesale volumes and losses at about 100 basis point effect, lower expense levels, some of which related to wholesales and another 100 basis point effect, offset by the effect of selling a higher-priced vehicle and slightly higher claims under our add-on products. The lower margin percentage compared to the prior year quarter relates to higher wholesale volumes and losses, about 100 basis points, slightly higher expenses and the effect of selling a higher averaged selling price car. The higher selling price carries a lower gross margin percentage. 
 We continue to work hard at reducing vehicle-related expenses, and we expect gross margin percentages to remain under pressure near term, but we do expect improvements over recent quarters. 
 Now for the quarter. SG&A as a percentage of sales was 19.4% compared to 18.2% for the prior year and 18.9% sequentially. The $2.4 million increase in overall SG&A dollars related primarily to higher payroll costs and other incremental costs related to the growth and the average number of stores of 10 and infrastructure costs to support our growth. While we do believe we'll grow into our cost structure, which was created with the view of supporting much higher volumes, that was not the case in the recent quarter and we're making adjustments. 
 We certainly anticipate the higher sales volume for the third quarter and the timing of income tax refunds did have a negative effect, but we will aggressively manage our expenses and we do expect some longer-term SG&A leveraging over time as we grow our revenues. Had productivity been closer to the prior year level, we would've seen some leveraging during the current quarter. 
 For the quarter, net charge-offs as a percentage of average finance receivables was 6.6%. That's up slightly from 6.5% from the prior year. A slight increase for the quarter resulted from an improvement in the frequency of losses that have about a 50 basis point positive effect, offset by higher severity, which had about a 60 basis point negative effect. Once again, the higher severity of losses resulted from lower wholesale values at repo. 
 Our wholesale value recovery rates continue to come under significant pressure. Our recovery rates for the quarter were close to 22%, which is historically low and well below what we saw during the low point back in 2010. While the good news is that we have repossessed significantly fewer vehicles, those cars that we did take back are worth less and less. Coupes, sedans, basic cars at the low-end are not bringing much at all in the wholesale market. There were no significant variances with losses between age categories when compared to the third quarter of last year. And the improvement sequentially from 7.8% to 6.6% was concentrated in the dealerships that are 10 years old and older, with our managers continuing to focus on better collection results. 
 Competitive pressures both at the point-of-sale and a default point continue to be very high. Principal collections as a percentage of average finance receivables for the quarter was 12.9%, down from 13.8%. The decrease in principal collected between periods resulted mostly from the longer average term, which is 1.2 months and to a lesser extent, to the delay in the timing of income tax refunds. 
 In the prior year, some refund money was out in the market in late January, and this year, we did not see any refunds in consumers' hands until February. The average percentage of AR current for the quarter was 81.4%, that's up from 80.8%. And our accounts over 30 days past due are at 5% compared to 5.2% at this time last year, but up from 3.5% at the beginning of the quarter, which is somewhat seasonal. Also, delinquencies in our 329-day past due bucket was 12.8% at the end of the quarter compared to 15.3% at the end of April and 11.8% at this time last year. Again, the timing of income tax refunds between years had a negative effect in that 329-day bucket when we compare where we're at now to last year at this time. 
 Credit losses on the income statement was 26.9% compared to 25.9%. The increase on the income statement between years can be attributed to a couple of things. We are provisioning at a 25% loss rate this year compared to 23.8% for the prior period and our principal collected being lower due mostly to the longer average term and the timing of tax money. In effect, we are provisioning for more of the uncollected dollars. We are disappointed in our credit results, we will stay focused on cash-on-cash returns and increasing customer success rates. We are very pleased with the decrease in the frequency of losses and very hopeful that, that trend continues. 
 We have to find the right balance between sales volume and risk to ensure that our infrastructure is in alignment to serve our customer in the most effective manner, allowing us to maximize their chance for success. So we will continue with a good solid expense management. Over the last 12 months, we've increased finance receivables by about $18 million. We've repurchased about $17 million of our common stock. We've completed capital expenditures, including infrastructure investments of about $6 million. We've increased inventory by about $4 million, a large percentage of that is in trucks and SUVs in anticipation of tax time, and those levels will come back down during the fourth quarter. And we did all of this with less than $10 million increase in debt. 
 At the end of January, our total debt was $122 million. We did repurchase almost 253,000 shares or 3% of our outstanding shares for $6.5 million for the quarter. Our current debt-to-equity ratio was 53.5% and our debt to finance receivables ratio was 27.6%. We had $22 million in additional liability under our revolving credit facilities at the end of the quarter. And as mentioned in the press release, we did exercise a portion of our accordion feature in our revolving credit facilities and increased our line by $27.5 million, bringing additional liability to $49.5 million. 
 My one final note, as we have previously discussed, we are largely a participant and subject to CFPB supervisory authority for nonbank auto finance companies. The CFPB has been engaged in a review of our compliance management system since the week of January 11. Most of their time has been here on site in Bentonville. They are scheduled to conclude their review at the end of next week, week of 02/22. Hank and I have met with them weekly, while they're on site. And of course, our compliance department and various operational personnel have worked with them extensively during the review process. They have not notified us of any material issues with our compliance management system, which would require us to significantly change operation processes. They've been very professional, and we've established a good working relationship with them, and we will be making some revisions such as improving documentation and formalizing some processes to our compliance management system that will help us strengthen our controls and allow us to serve our customers at the very high level that they deserve. 
 Now I'll turn it back over to Hank. 
William Henderson: All right. Thanks, Jeff. As a follow-up to Jeff's last comments, I would like to commend our senior compliance director, [indiscernible], and the entire staff of our compliance department on the job they've done, with our CNS. They've done an excellent job on the very challenging task, and we do greatly appreciate all of their hard work. Of course, we will continue to improve and enhance our CNS as we move forward, and we'll always stay focused on the consumer. 
 During this past quarter, we opened 2 new locations, Milledgeville, Georgia and Burlington, Iowa. And our new stores are doing very well. And we do already have a couple of properties secured for new locations. We're holding off for now on additional openings as we want to put more of our resources focused on improving volumes in those older stores that have seen a decline in sales during these past couple of years. Initiatives to improve quality and selection of inventory have been and are underway, which is going to make a difference. And also, our marketing team has moved very creative promotions that will be rolled out in the upcoming months, along with the shift of more advertising dollars from traditional to more digital media to help better reach our market. 
 We continue to be very excited about the future of our company. And obviously, as we've discussed, we have to make some adjustments to fit ourselves better to the current environment and to assure we remain the best at serving our customers in each of the local markets, and we are committed to doing so. There's no question that this competitive environment has pushed us to be even better at what we do. So ultimately, we will be all the better for it. 
 So that concludes our prepared remarks. And we would like to now move on to any questions you have. So operator? 
Operator: [Operator Instructions] And our first question comes from the line of JR Bizzell with Stephens. 
John Bizzell: I guess, kind of going back to the competition -- the competitive set that you're seeing and you're referencing in intense environment. Just wondering, if you all can kind of speak to maybe the sales cadence during the quarter. As you kind of pointed out, January was particularly weak for you all. Just wondering maybe what you saw at the beginning, middle and then towards the end of the quarter and what changed maybe in the competitive rationale. 
William Henderson: Yes. Well, actually, I think it started out -- the quarter started out kind of average at the very beginning, but then it did pick up in December. December was better. January is one of those months. I think people are getting so close to tax time, they're holding off on purchases until the refunds start coming in. And with the delay in some of the refunds in some years past, we have seen some tax dollars at the end of January. We did not see that this year. We didn't start coming in until February, which I can tell you, we did -- sales did pick up in February when those started rolling in. So I think part of the slowdown in January was just that holding off -- they were going to wait a couple more weeks before they got the money on at least some portion of their sales. 
John Bizzell: Great. Thanks for the detail. And then kind of switching gears to your credit and your underwriting process and just wondering how you all are thinking about it. Your credit, in general, I know there were some improvement from last quarter. Just wondering kind of some things you're really focusing on and things we can kind of focus on as we move throughout the remainder of calendar '16. 
Jeffrey Williams: Well, we're staying intensely focused on managing delinquencies, of course. So working with customers much more quickly, and we've seen some real positive effects from those efforts so far. We're trying to put better vehicles out there. And with the best intentions over the last few years, we've tried to keep prices down and payments affordable. And when the cost's down, maybe we sacrifice a little bit on the quality. So we're moving back in the right direction on the quality side. And then with our new underwriting tools and scorecard and that process, we're able to really make sure that -- when someone drives off our dealership with a car, there is a really good opportunity for them to succeed on that. And as a result, we're getting a little better down payments and a little better quality customer with better deal structures. So we think from a credit side, a lot of things are moving in the right direction. The one negative is just the fact that we're having to put the term out a little longer, and we're watching that closely and not doing anything more than we absolutely need to and always focused on making sure that, that term is not beyond the useful life of that asset. So -- and what's been really tough in the competitive standpoint is that, that view is not shared by all out there. But we're certainly standing by that, and it will help customers' success down the road. 
William Henderson: I would add to that too, just kind of a bit of an update. On our last call, we had told everyone we'd rolled out in October kind of the first phase of our  underwriting system and we've actually, during this recent quarter, we've done an upgrade and updates to that system that gives our managers better visibility on their end. Of how to use it and of course they're getting more comfortable with it. So realistically, as we said, we're probably weeding out some deals that, a year ago, would have gotten through. But again, we know we have to balance the risk and -- as we push for more sales. So we feel very good about it. 
John Bizzell: Great. And last one for me. Kind of pointing out the GPS product that you'd kind of been implementing through last year. And just wondering if you could give us an update there, kind of what this new underwriting system that you got in place with your managers as well as the GPS, just kind of how you're thinking about leveraging those 2 items and mainly on the GPS product update. 
William Henderson: Well, I think no news has really changed since our last discussion on the GPS. For us, it's all about being able to have that conversation with our customer ideally when they're 1 payment behind and not several to just let them know that we're able to work with them and we can work through that. And that's still our task. It is currently not completely integrated into our operational software. So there is some timing. There is some -- you have to give another person in there to help run the GPS. Our IT group is working right now on getting those 2 systems integrated. So we will be able -- it will be easier to use going forward, and we hope that that's going to make a little bit of a difference and help us to utilize this better. But right now, it's really hard for us to exactly pin down. From the time we began to install these devices, obviously a lot of things have changed and the competitive environment's changed a lot. So we may be realizing more benefit from it than we know. But it's still hard for us to pin down exactly what kind of return we're getting on this. 
Jeffrey Williams: But to follow up on that, the underwriting improvements and the scoring system and the GPS products, all those investments, in fact, our cash-on-cash returns are really strong, and they're going to help us in finding that right volume mix that's going to allow us to certainly focus more on volume, get the right deals in place, maximize success. And it's just a matter of us finding that right balance. But really, we're committed to the increase in volumes back to a point that we're going to see some leveraging at the SG&A line, certainly in the -- and we have the tools in place to make sure we do that effectively. 
Operator: And our next question comes from the line of John Rowan with Janney. 
John Rowan: Can you -- obviously, you've been -- the CFPB is on site. I just want to kind of -- how do you guys address the Herbies settlement with the CFPB, kind of talk about how your policies, your advertising and such differ from what the CFPB took exception to against this tiny 1 store operator in Colorado? 
Jeffrey Williams: Well, our -- if you want to talk about pricing or financing or anything specific? 
John Rowan: Well, I mean, some of the add-on products, for example. They weren't including that in the APR. Talk about what products are optional, which products are non-optional, whether or not to include in the APRs. Maybe just start there. 
Jeffrey Williams: Yes. All of our products are -- all of our add-on products are appropriately disclosed and the pricing on those products is very attractive. It's a good bargain. It's a good value for the customer. And the APR calculations are all appropriate for all of those products. Just a reminder, our cars are priced off of a pricing grid based on what we pay for the car. And that pricing grid has not changed for the last 5-plus years. So we're very transparent on the transaction, very transparent with the add-on products. The APRs are all calculated appropriately, and we think we give our customers a really good deal and then support them after the sale with good service. So we don't -- we didn't see anything in that instance that caused us concern. 
John Rowan: And you do post the retail purchase price of the vehicle on the lot, correct? 
William Henderson: We do. In our advertising, every bit of our advertising, it's always better to make sure that it has all the proper disclosures and the proper finance components and all that. So we don't have any issue with that. We have a price set, and it's not one that changes. 
Jeffrey Williams: In our -- we want to make sure that -- more than anything, we want to make sure that customer knows exactly what the price of the car and the products are and exactly what the financing is going to cost and how long the term is going to be. So we hit that right on the front-end to make sure that, that consumer is very well informed. 
John Rowan: Okay. What did you mean you alluded to recovery rates being -- it almost sounded like it's virtually nothing on some of the smaller cars. Can you just kind of clarify? I mean, are you getting no sales on vehicles that you're trying to wholesale? What's the difference versus historical recovery rate, 30%, I mean, are you -- where do you stand on some of the worst performing segments of the car market right now? 
Jeffrey Williams: Yes. The very low end -- the scrap car is worth -- very little. And as far as historically, we've been as high as the low to mid-30s on recovery rates. So even within the last year, recovery rates are down about $400 per unit. And that real low dollar car, that sedan or something that doesn't have much appeal, especially after it's been driven for a year and may be subject to repossession is really not holding any value at all at this point. 
John Rowan: Okay. And then just last question for me. You talked a lot about the delay in tax receipts and obviously through. There was a delay in early -- earlier in the season, there was, I believe, a computer glitch on the e-filing system. Is that what you're referring to? Or is there something else in the tax season that was delaying the filings and the receipt of tax refunds? 
Jeffrey Williams: I think that was part of it. And then we've heard that the weather had a couple of day effect early or late in January. So there's a couple of things that caused a delay every a couple of weeks. It seems to be tricking out a little slower this year, too, even after it started. So it's just been a little different than prior years. 
Operator: And our next question comes from the line of Elizabeth Suzuki with Bank of America Merrill Lynch. 
Elizabeth Lane: I know you just recently took up the allowance for credit losses to 25%. But with net charge-offs looking like they're stabilizing and accounts over 30 days past due coming down year-over-year, how many quarters in improvement do you think you need to see before that allowance might be reduced? 
Jeffrey Williams: Well, it will take a few quarters. It's really good news for us to see the frequency of losses going down, but the severity is just horrendous right now. So there's offset, and we're keeping a close eye on that and we'd like to stay conservative. We don't like to bounce that reserve around because it makes things a little harder to understand on the financial statement. So any change, up or down, is really scrutinized, and we don't want to do anything up or down too early. But we look at that reserve every quarter and would love to be in a position to decrease it at some point in the future. But we're a few quarters off from that. We need to see what happens to fair market values, and we hope that our frequency of losses continues to trend in a positive direction. 
Elizabeth Lane: Great. And does it seem like there's any supply constraint for the kind of vehicles that you want to procure and sell in that 6- to 12-year-old category that might be driving up pricing? Or is this more just an active decision to sell better quality vehicles? 
William Henderson: It's a blend of both. Definitely, the price is going up as they always seem to. It's been our experience, but -- also, we're being a bit more selective. And I think Jeff had mentioned earlier, we made a real push to have more trucks and SUVs than typical in our mix and those on an average. Obviously run -- those are higher and that would account for most of the increase. 
Elizabeth Lane: Great. And just one more quick one, which is what kind of same-store sales growth do you think you'd need to achieve in order to generate SG&A leverage? And what cost leverage are you working with in the near term as volumes are remaining weak? 
Jeffrey Williams: Well, looking at last quarter kind of by itself, had we averaged 26.5 units sold per dealership. We would have seen a little leveraging, which is certainly below where we expected to be longer term. So we feel pretty confident that the infrastructure we built and processes we had in place. We just need to figure out a better way to push volume through the network with good quality. This is a risky business. There are going to be risky deals, but we've got enough good data and support and processes to not shy away from pushing some volume through the network and we're likely to do that over time. 
Operator: And our next question comes from the line of John Hecht with Jefferies. 
John Hecht: Jeff, congratulations on the new title. Just -- I guess a couple of kind of extensions that's -- to questions have already been brought up. First one is related to credit. There's just a lot of generic kind of market concerns or macro concerns about -- particularly the subprime, the health of the subprime borrower. I know you guys have elevated credit cost for context of history. However, you saw recent frequency improvement. But how do you guys characterize the health of your customer right now? And what kind of things do you look for in that regard? 
Jeffrey Williams: Well, our new underwriting and scoring system has a number of factors in that score, and we're attracting a pretty good customer based on the customers we've seen historically even going back 5 or 6 years. So we feel like what we're offering in service and product is attracting a good quality customer, and we feel like any pullback in lending on the competitive side, especially at those higher price points, provide an opportunity for us to maybe pick up some of the volume we've lost over the last few years. And we'd love to see some tightening, and maybe we do, maybe we don't. We've certainly felt like that should have happened by now. But one of these days, it will. But at the end of the day, we are looking for a good stable customer with a good deal structure to go with it. And we got some really good math behind our account story and feel like our product is matching up pretty well right now and feel we just have to figure out how to sell more cars. 
William Henderson: I would also throw in there that, I don't think we have mentioned today, is our sales repeat customers continues to be very strong. We measure our sales each month. We look at the percentage of those sales that are repeat customers. And that's a big component of how we measure our risks, and that number remains as strong as ever. We do have to do a better job, obviously, attracting some newer customers. One of the things we're very proud of is, right now, we have 67,000 active accounts out there and well above 20,000 of those are previous customers. So close to roughly 1/3 of all those out there have paid off a car with us before, in many cases, multiple. So that's also one way we kind of manage that risk. But we know there -- we feel like there's a lot of people out there in the space that we had a lot of folks there living paycheck to paycheck. Times are tough, and certainly the cost of -- the inflation of cars outpaced their wages and a lot of other things. But there is a need, and we feel strongly with a 30-month term, even though it's a little longer than we were. A 30-month term fits the needs of a lot of folks, a lot better than signing up for some of these 72 months and other things that we hear of. So we're trying to do what we feel like is practical and meets their budget. 
John Hecht: Okay. But just in a nutshell, are you seeing any kind of like-for-like customer distress relative to 6 months ago or anything? 
William Henderson: No. And I would say it seems things are very much the same, same challenges. Just like our customers, there's always a spot here or there where jobs are getting better and then some markets are just getting a little worse. But no I wouldn't say anything changed recently. 
John Hecht: Okay. And then on the -- just -- I wonder if you could juxtapose your recovery rates are going down, however, your cost of inventory, your wholesale costs are going up. You said there's some mix shift there, but I'm wondering if you're buying -- if you had the same inventory mix as a year ago, what would be happening to your wholesale prices, and are seeing any changes in that market? 
Jeffrey Williams: Well, I think the fact that we're repossessing a lot fewer cars is a very good sign. And it's kind of highlighting the cars that we are repossessing fewer in number and making up a much bigger piece of the total, and they're happening to be for the most part, down at lower value point. So it's kind of hard to answer the question directly. But we feel like for the last 6 months at least, we've really focused on putting a good quality car out on the road. And that -- at least so far, it certainly looks like that is working out well in terms of frequency, but -- which is really good. When you talk about customers' success, that's our primary focus, is to make sure we have lower frequency losses. And then the severity is a little out of our hands. But there seems to just be a flood of cars out there. I don't know if it's trade-ins or higher repossessions from other finance companies or just a combination of everything. But there's just not that much value at all on that low-end base car. But luckily, we're taking a lot less of them back. 
John Hecht: So that's good. But what about on the supply side, your inventory cost. If you were to buy the same car that you were going to buy a year ago, what's been the pricing movement there on the supply side? 
Jeffrey Williams: Yes. Again, it's pretty spotty based on the type, the trucks and the SUVs are up quite a bit. Our trucks and SUVs are a lot more than you might see on the Manheim Index. We nearly have the same thing everybody seeing on sedans and the lower compact cars, they've actually lost was quite a bit of value. So we're seeing the same thing that the general market is seeing except we're probably seeing a little bit higher prices even percentage-wise for the trucks and the SUVs with the low gas prices, and our customer having opportunity to own some of those cars. 
William Henderson: Well, that combines with the seasonality, too. Also, this time of the year, it pushes them up extra. 
Operator: And our next question comes from the line of Bill Armstrong with CL King & Associates. 
William Armstrong: Kind of looking at this environment that's been going on for quite a while now with easy credit availability for subprime auto buyers and a lot of customers have more options in terms of where they buy a car than maybe they used to. Some of the thought was that, this will cycle out and it will return to what was normal. But what if this is the new normal? I mean, the -- when you guys are kind of in your office looking at the trend of this business, do you maybe think about changing your fundamental approach to the market, maybe going after different segments of the market? How do you look at that? 
William Henderson: Well, I think that's an excellent question. We've got to go to the conversations that we have here, and I think that's where we sit today. But on one hand, we still do anticipate some relief out there in the future just thinking it hasn't come along quickly enough. It's been around long enough that we have to get our head around the fact that we have to approach the business as if this is here to stay. And we've talked a little bit about inventory. That's a part of it. There was a time some years ago, where we were primarily in the selling transportation business. And certainly now that we know that, in our market, people have more and more choices, and it's not all about just the transportation, but I want exactly this or exactly that. So we have had to improve with our mix and the selection that we make available. And so that's a part of it. I also mentioned, we're going to change some of our advertising strategy. We were currently working with a few groups on making a shift to some more digital media, and we're going to better focus on those groups that we know are our customers. So we're going to invest in that. Fortunately, some of that is actually a cheaper than some of the traditional advertising we've done in the past. So it won't necessarily be an overall increase of spend. We cap our ad dollars less than 1% even of our revenues so we haven't overspent there. So there's definitely a lot of room for us to improve on the marketing side as well. And then also just through the ongoing better training of our sales crew. I feel like there's a lot of things we could do. Because really when we break it down, for us, right now, we've talked a lot about our older stores, right now, about half of our stores are over 10 years old. And if we could just pick up an extra sale per week from that group, it would transform these numbers that you hear from us. So that is not too big of a stretch, and that's what we're working towards. 
William Armstrong: Okay. And then just another -- a different question. You've got about 40 stores in total in Texas and Oklahoma. We're hearing from some of the new car dealers that they're starting to see some impact from the slowdown in the oil and gas sector and people losing their jobs, et cetera. And even if your customers don't necessarily work in that sector directly, maybe some of them work in, I don't know, restaurants, hotels, other businesses that may serve those industries or employees of those industries. Are you seeing any slowdown in those areas, in those stores that may be attributable to the overall energy market? 
William Henderson: Yes, in a few. Fortunately, most of our stores in Texas and Oklahoma aren't directly affected by that. It tends to be more out in the Western Oklahoma from what we're hearing. I guess, I had -- I was at a meeting with those guys a couple of weeks ago. We have talked with them, and we do have a few stores that are feeling some stress that some of the customers have lost their jobs. So fortunately, it's not most of the markets out there. But yes, it is hitting a few of them. 
Operator: [Operator Instructions] And our next question comes from the line of Aaron Martin with AIGH Investment Partners. 
Aaron Martin: Just to go back on the CFPB for a second. Can you clarify the time line in the process? Is there -- once they finish there, do they have like a month or something to give you a report or something like that? Or how does that work? 
Jeffrey Williams: Yes. They've indicated that there will be a report within a few months of them leaving the field. 
Aaron Martin: Okay. On switching topics for a second on the new store openings. If I understand your comments correctly, you're going to hold off on opening new stores in the meantime. If I understood that correctly, what do you need to see in order to start with the store openings again? What are you looking to stay for some stabilization? Or how do you look at that? 
William Henderson: I think, first and foremost, we are going to focus on getting some of these volumes back, and I think it could happen pretty quickly. I mean, if we feel like it's coming back, there could be a decision that could be changed at any time. And so when I say at this time, we haven't gone alive. And as I've mentioned, we actually do have a couple of properties secured already. Those are just on hold. But definitely some improvements on the sales side. So we know that we have our focus in the right place. And this also helps -- serving [indiscernible] right now helps with a little better seasoning and so our new managers also provide [indiscernible] better training of our pool of future managers but I would say right now, sales would be the main indicator for that. 
Aaron Martin: Okay. And as far as -- so I guess, as far as taking out cost or you mentioned that you build the infrastructure for a much larger sales base, at this point, are you talking about stopping to increase costs or to expand? Or do you actually think you can take out some costs? How do you -- because you did sound like you do want to keep things in place to potentially move forward with some of the new stores. How do you -- what are you referring to when you talk about moves on your infrastructure? 
William Henderson: I think we just need the right -- we have some various departments and even some stores where, frankly, we're geared up for higher sales levels. So I think there are some adjustments that we can make. Really, just minor adjustments in every department can add up to some [indiscernible] cost-cutting measures. While that's not specific enough, but it's kind of a work in progress right now. But there is opportunity for us to cut some. 
Aaron Martin: Okay. And last question. On your wholesale revenue, do you break out what piece of your revenue for the quarter was wholesale versus retail? 
Jeffrey Williams: Well, yes, you can derive it from taking the retail units sold times the average retail sales price,, and the difference is wholesale. 
Operator: And I'm showing no further questions at this time. I would like to turn the conference back over to management for any closing comments. 
William Henderson: Okay. Well, thank you all for joining us today. And we will get back to work on these matters we've discussed today. So all of you, have a great day. Thank you. 
Operator: Ladies and gentlemen, thank you for participating on today's conference. This does conclude today's program. You may all disconnect. Everyone, have a great day.